Kenny Green: Ladies and gentlemen, thank you for standing by. I would like to welcome you to Camtek's Results Zoom Webinar. My name is Kenny Green, and I'm part of the Investor Relations team at Camtek. [Operator Instructions] I would like to remind everyone that this conference call is being recorded, and the recording will be available from the link in the earnings press release and on Camtek's website from tomorrow. You should have all received by now the company's press release. If not, please view it on the company's website. With me today on the call, we have Mr. Rafi Amit, CEO; Mr. Moshe Eisenberg, CFO; and Mr. Ramy Langer, COO. Rafi will open by providing an overview of Camtek's results and discuss recent market trends. Moshe will then summarize the financial results of the quarter. Following that, Rafi, Moshe and Ramy will be available to take your questions. Before we begin, I'd like to remind everyone that the statements made by management on this call will contain forward-looking statements within the meaning of the federal securities laws. Those statements are subject to a range of changes, risks and uncertainties that can cause actual results to vary materially. For more information regarding risk factors that may impact Camtek's results, please review Camtek's earnings release and SEC filings and specifically the forward-looking statements and risk factors identified in the recent press release issued earlier today and such other risk factors discussed in Camtek's most recent annual report on SEC Form 20-F. Camtek does not undertake the obligation to update these forward-looking statements in light of new information or future events. Today's discussion of the financial results will be presented on a non-GAAP financial basis unless otherwise specified. As a reminder, a detailed reconciliation between GAAP and non-GAAP financial results can be found in today's earnings release. And now I'd like to hand the call over to Rafi Amit, Camtek's CEO. Rafi, please go ahead.
Rafi Amit: Thanks, Kenny. Hello, everyone. Camtek concluded the third quarter with record performance. Q3 revenues reached a record $126 million, reflecting over 12% growth year-over-year. We also maintained solid gross margin of 51.5%, contributing to a record operating income of over $37.6 million. Our strong cash position of approximately $800 million, including the additional cash generated by our successful $500 million convertible notes offering in Q3 provide us with the financial flexibility to drive growth organically as well as to explore potential opportunities for inorganic growth across our market. Revenue distribution remained in the line with our expectations and closely matched last quarter result. High-performance computing applications contributed approximately 45% of total revenue, while other advanced packaging applications accounted for about 25%. The balance came from CMOS image sensors, compound semiconductor front-end applications and other general applications. We continue to see a shift of CoWoS like production toward OSATs, a trend that is favorable for our business, given our strong position within this segment. We've received significant orders for installation this year from 2 Tier 1 OSATs for CoWoS and CoWoS like applications. We have also received significant orders from several OSATs for fan-out application. Regarding the HBM market, we maintain our leadership position with all the manufacturer. Our tools are not only qualified, but actually are the tools of reference for 3D metrology steps for HBM4 at all the HBM players. We have installed tool for HBM this quarter and through the entire year for both 3D and 2D steps and have orders on hand for HBM shipment for the next quarter. Regarding our guidance for Q4, based on our current order, our sales pipeline and ongoing customer engagement, we expect Q4 2025 revenue to be around $125 million, representing annual revenue of $495 million, a record year for Camtek with a strong growth of 15% over 2024. Let me share some of our recent technological development and business highlights. We continue to enhance our technological capabilities and strengthen our competitive edge. The next generation of devices that will power the future of HPC will require cutting-edge inspection and advanced 3D metrology solutions, area in which Camtek is strongly positioned and continues to innovate. Our new product, Eagle G5 and Hawk were designed to meet the most demanding new requirements and at the same time, perform at very high throughput. These models have been very well received by the market and are expected to contribute approximately 30% of our revenue in 2025 with an even larger share expected next year. The Eagle G5 has been recently selected for 2D applications over our main competitor at major IDM, and we have received multiple orders for installation this year and into '26. We have also won significant business at 2 Tier 1 OSATs after an evaluation of multiple vendors, including our main competitors. Regarding the Hawk, we have already received repeat orders for major Tier 1 player for shipment in 2026 and 2027 after multiple Hawk systems were used flawlessly in production for several months. The Hawk provides the most advanced 3D performance in terms of throughput and accuracy. This is our ninth generation of white light triangulation that provides superior coverage for different bump types and process steps compared with laser triangulation technology used by our competitors. We are planning to introduce an enhanced version of the Hawk early next year, featuring significant improvement in throughput and overall performance across both 3D metrology and 2D inspection. This advancement will further strengthen the Hawk's position as the most advanced tool in the segment. Regarding 2D inspection domain, we have made significant investment over the past year to expand our capabilities of both the Hawk and Eagle G5 in the 2D inspection applications. We have implemented breaking through HI driving algorithms into our detection technologies. We are currently evaluating these innovations with key customers, and we are confident that these new cutting-edge inspection solutions will enable to further grow our market share in this segment. I would now like to share some insight regarding the HPC market. With the accelerated adoption of AI and the recent announcement of a major data center investment by leading industry players, it is clear that the industry is heading toward a significant expansion of manufacturing capacity. Only the HBM portion is expected to more than double itself in the next 3 years. That said, we expect a natural time lag between those investment announcement and the actual purchase of equipment to support this new capacity. Turning to our preliminary outlook for 2026. This industry development, which point to sustained growth and continued investment in wafer fab equipment, strengthen our expectation that 2026 will be another year of growth for Camtek. At this stage, we expect our 2026 revenue to be weighted toward the second half of the year with a somewhat slower start, as the market continues to absorb existing capacity before the next wave of expansion begins. In summary, the massive investment in data centers and the accelerating adoption of AI-driven applications are expected to translate into increasing demand for advanced semiconductor manufacturing equipment. With Camtek's strong market position and the cutting-edge capabilities we have recently added, we are well positioned to capitalize on this trend and deliver significant growth while further expanding our market share in the coming years. And now Moshe will review the financial results. Moshe?
Moshe Eisenberg: Thank you, Rafi. In my financial summary ahead, I will provide the results on a non-GAAP basis. The reconciliation between the GAAP results and the non-GAAP results appear in the table at the end of the press release issued earlier today. Third quarter revenues came in at a record $126 million, an increase of 12% compared with the second quarter -- third quarter of 2024. The geographic revenue split for the quarter was as follows: Asia was 93% and the rest of the world accounted for 7%. Gross profit for the quarter was $65 million. The gross margin for the quarter was 51.5%, similar to the previous quarter and an improvement from the third quarter of last year. Operating expenses in the quarter were $27.2 million compared to $22.9 million in the third quarter of last year and $26.6 million in the previous quarter. The increase over last year is mainly a result of increased R&D expenses. Operating profit in the quarter was $37.6 million compared to $34.2 million recorded in the third quarter of last year and $37.4 million in the second quarter. The improvement over last year is due to the increase in gross profit, partially offset by the increase in operating expenses. Operating margin was 30%, similar to the level last year and last quarter. Financial income for the quarter was $6.5 million compared to $6.4 million reported last year and $4.9 million in the previous quarter. Within that, interest income increased slightly due to the increased cash balance from profit cash from operations as well as from the convertible notes issued towards the end of the quarter. Net income for the third quarter of 2025 was $40.9 million or $0.82 per diluted share. This is compared to a net income of $30 million or $0.75 per share in the third quarter of last year. Total diluted number of shares as of the end of the third quarter was $50.3 million. In the next quarter, the number of shares will increase, as the effect of the convertible notes will apply to the full quarter, and it is expected to be around 51 million shares. Turning to some high-level balance sheet and cash flow metrics. Cash and cash equivalents, including short- and long-term deposits and marketable securities as of September 30, 2025, were $794 million. This is compared with $543.9 million at the end of the second quarter. We generated $34.3 million in cash from operations in the quarter. In the quarter, we successfully completed a $500 million new convertible notes offering. At the same time, we repurchased for $267 million existing convertible notes with a balance sheet value of $167 million, less expensive. As a result of the tax asset -- as a result, a tax asset was created in the amount of $12.3 million, which led to a onetime GAAP loss of $89 million net. The positive net cash flow from this activity was $219 million. Inventory levels decreased to $142 million from $149 million, as we have been able to introduce planning efficiencies. Accounts receivables remained stable at $112 million, representing 81 days outstanding. As Rafi said before, we expect revenues of around $127 million in the fourth quarter. And with that, Rafi, Ramy and I will be open to take your questions.
Kenny Green: [Operator Instructions] And our first question will be from Charles Shi from Needham.
Yu Shi: Maybe the first one, Rafi, you mentioned about the timing lag between announcement and implementation. Just kind of wonder if there is another timing lag, let's say, between DRAM front-end equipment investment versus packaging? And how should we think about when you mentioned about the second half weighted next year, a lot of that probably attributes to that timing lag. But how should we think about the level of, let's say, a little bit of moderation in first half? It seems like that's what you alluded to. And what's the -- based on the order, based on your customer engagement, how big the second half next year could be?
Rafi Amit: Okay. In general, we are also in the period of preparing the budget for next year. So when we collect all the information, all the discussion with customers, what we call the pipeline in order, all of these show us that we can feel very comfortable more for the second half and the first half -- because delivery time of us is about 3, 4 months maximum. So it's a little bit not easy for us to predict more than this period. So when I collect all the information, this is -- based on this, we feel more comfortable on the second half to say what we can see and what we can feel. But maybe Ramy can contribute to more details about this.
Ramy Langer: Charles, we feel very comfortable that 2026 is going to be a growth year. We feel comfortable. But speaking with customers and seeing all the announcements, and there is no doubt that it's going to be growth. We have the pipelines, and we feel very comfortable about next year. I think at this stage, we cannot anticipate exactly the numbers, and we don't usually give any indications about one quarter after the next one. So at this stage, we cannot provide a solid guidance about the first quarter. So we are very, very comfortable about 2026. It will be a growth year. We feel that the second half will be better than the first half, although the numbers and exactly how will be the details, it's too early to comment at this stage.
Yu Shi: Got it. Yes. Moshe, maybe a question for you. The OpEx looks like Q3, there's a good amount of R&D expense increase, maybe offset by a slight moderation SG&A. I think based on all the commentary you talked about Eagle G5, Hawk, it's probably not a surprise R&D expense come up a little bit. But still would like to see if you can provide any more color on the R&D expense. And let's say, going forward, do you expect this level of R&D will continue? And how should we think about a little bit that in Q4 and beyond Q4? How you plan for OpEx?
Moshe Eisenberg: Definitely -- Charles, so definitely, the one area within the OpEx that we continue to increase and spend more resources on is the R&D. We see that as an investment for our future growth. We are continuously adding capabilities, as you heard from Rafi in his prepared remarks. So we do not expect any major decline in R&D, but it could vary from quarter-to-quarter based on certain activities, but it will remain at this level and should increase as a percentage of revenue -- as we grow the revenue, sorry.
Kenny Green: Our next question will be from Brian Chin of Stifel.
Brian Chin: Maybe firstly, China has clearly been a very strong geography for Camtek this year. Can you comment on what has driven the strength? And off a strong 2025, do you expect China up in 2026 and also more second half weighted?
Ramy Langer: We feel comfortable with what's happening in China. We see continued investments. As you know, a lot of the business in China is more OSATs related, and there is a lot of room to continue and invest in this space. We are seeing also investments, by the way, from other OSATs in the world. So all in all, I think the OSAT segment is pretty healthy. I think Rafi mentioned in his prepared remarks that we have won business in a couple of OSATs, significant orders. So we definitely expect China to continue and be healthy in 2026.
Brian Chin: Okay. Great. Reflecting again also on your commentary about a slower start to next year. It sounds like the preliminary outlook might be for Q1 revenue to decline relative to Q4 levels. Is this more tied to HPC or China? And would you expect 1Q revenue to still improve on a year-over-year basis?
Ramy Langer: So I think at this stage, we've said that it's too early for us to comment on accurate numbers. We're not in a position to state them. And I think Rafi mentioned it and we talked about in the prepared remarks. I think what is important that we see 2026 as a growth year. There are lots of opportunities. Definitely, the HPC continues to be very strong. If you take the HBM, the HBM business is growing at over 30% a year. It's going to double in the next 3 years. And we see a lot of investments there. Our market position, as we mentioned, is very strong at all the HBM manufacturers. We are the tool of reference for the HBM4 at each of these locations. So we feel comfortable. And I think in 3 months, we'll be in a much better position to comment on the [Technical Difficulty].
Brian Chin: I should ask a quick follow-up just based on that. When you say tool of record at HBM4, are you talking about 3D? And also, can you also comment on...
Ramy Langer: I will elaborate in 1 minute, but I just want to mention one thing. There is no weakness in China. And now let's talk about the tool of record. So first of all, we are tool of record for all the 3D metrology for HBM4 at all the HBM manufacturers. We are also a tool of record for several 2D inspection steps at different steps, at different manufacturer.
Kenny Green: Our next question will be from Matt Prisco of Cantor Fitzgerald.
Matthew Prisco: First, just maybe a little more detail on that first half versus second half weighting. Any areas of your business or end markets that are seeing this dynamic more pronounced? And then what's giving you that confidence in the second half balance? Is that actual orders on the books today? Or is that more just generally what you're seeing in terms of those industry trends and customer conversations?
Ramy Langer: So the way we work with our customers, we hold a lot of discussions with them. We build a very detailed, what we call, a pipeline that is per customer, per the requirements that he's doing. And then we correlate it with what we see on the market. So all in all, and I think you have seen from previous years that we were able to understand the market and more or less be on target with the discussion that we had with you guys. So I think that from those discussions, understanding the market, understanding the HPC market is a market that is going to grow. But I think that what you see from the things that we are seeing around there, as we said, there is a certain time lag. And we don't think it's going to be very long. It's probably going to be pretty short. And therefore, we are very confident with the second half with the first half, we will be able to comment in 3 months.
Matthew Prisco: Helpful. And then on that HPC front, maybe can you walk us through the contribution expectations for next year? Are you thinking that grows as a percentage of revenues versus today? And are there any expected difference in that revenue contribution from HPC first half versus second half?
Ramy Langer: We -- if you go back, we have grown the business in '24, in '25. And definitely, we expect to do the same in '26. Our -- what we call the high-performance computing was roughly 50% of our business. And definitely, when you look ahead, this business will continue to grow. The HBM is going to grow. The CoWoS contribution is going to grow. We see the applications growing. You are seeing also when you talk about the applications today, the NVIDIA applications with the servers. You are going to see end of '26, '27, also a big growth in the density of the HBM memory that is going to use for the applications. So what we are seeing -- looking away, we are seeing 2 things. On one hand, you are seeing a lot of growth in the capacity that will come as this application -- the current application is going to require more density of memory and also we will see new applications. On the other hand, the move to HBM4 is going to be what we call inspection and metrology intensive because the bumps are getting tighter. There are going to be more bumps, the density grow, they will need to do more inspection and metrology. So if you couple all of these things together, definitely, we will continue to see growth. And I believe that the 50% part of the business is going to be maintained in general over the longer period. So yes, we are very optimistic about the business and the market. And we're listening to all the announcements that are being mentioned every time, the amounts just of the data centers that are going to be set in the next few years is huge. You're seeing it's hundreds of billions of dollars that are going to be invested. And definitely, the fabs that will support it will gradually come online.
Kenny Green: Our next question will be from Craig Ellis of B. Riley.
Craig Ellis: I wanted to start, Ramy, with one for you that just goes a little bit deeper into some of the things that have come up so far. So as we think about second half weighted calendar '26 growth, can you help us understand how Camtek is positioned for that from a manufacturing capacity standpoint currently? Do you have what you need? Do you need to add? And when will you need to start bringing in working capital? Because I think everything we all see suggest, this will be one of the bigger capacity ramps we've seen in a long time. And then since shipping costs have been an issue at times in the past, in the middle of the income statement, how will we manage shipping costs for a potentially significant surge in shipments in the back half of the year?
Ramy Langer: So general form the manufacturing capacity, and I think we discussed in previous meetings, we already about a year ago, added a significant portion of capacity. We are also going to add some capacity in Europe, as we discussed, in order to have another buffer just in case that we need more capacity. So from a capacity point of view, we have enough clean room space. We have enough employees. And therefore, from that point of view, we feel very comfortable. Currently, we are running at 2 shifts. We can always extend it to a third shift. But from that point of view, we feel very comfortable. From a material point of view, we're running, as Moshe mentioned, we're more efficient about the material flow. As a result, we were able to reduce the inventory. But all in all, we have enough material on hand to start the ramp, and we have excellent relationship with our subcontractors and other suppliers if we need to expedite material of any kind. Regarding the shipping cost, yes, we had a surge in the shipping cost in the past year. I think we overcame all of these issues. Shipping costs are back to normal. And hopefully, we do not see any issues regarding that. Did I answer your question, Craig?
Craig Ellis: Yes, you did, Ramy. And then I'll ask the follow-up to Rafi. Rafi, you have significantly strengthened your balance sheet with the convert, and you mentioned that one of the things that can do is enhance inorganic growth options. Can you talk about areas of the business where you feel like there's potential to add capability where you see opportunity to augment the current portfolio with something that would strengthen it and add further to the growth down the road?
Rafi Amit: Okay. We -- our today, Chairman, Lior Aviram, we hire him to spend 1% of his time only for M&A activities. And now we had another person for this purpose. So they work like a group, and they do a great job. The first map in the industry. And we divided it to, I would say, to inspection to metrology, to software to many, many type of area that could be integrated and interest Camtek. So I think right now, we have about maybe 40 potential customers or companies that we said, look, this about this amount of company could be very interested for us. And on a weekly basis, we do some discussion with them. Even we pay a visit to see them, to talk to them. So I feel very confident that maybe this year in 2026, we can see much better results for that.
Ramy Langer: Can I just add a little bit that may be misunderstood. So Lior, our Executive Chairman, is 100%. Most of his time goes to just the M&A activities. And I think we are very comfortable with the progress that we are making and there are quite a few opportunities, but that's something that we will speak in future calls once we have more material information and we can share it.
Kenny Green: Our next question is going to be from Tom O'Malley from Barclays.
Matthew Pan: This is Matthew Pan on for Tom O'Malley. Just one follow-up on the supply chain in terms of AI announcements. Any more detail you could share on those conversations with the supply chain? And if there's any broadening out in sort of -- in terms of conversations with the leading-edge players? I know you mentioned a lot more conversations with OSATs.
Ramy Langer: Obviously, Tom, there are a lot of conversations with all their relevant manufacturers and customers that are related to the high-performance computing. And it's very hard to try and quantify it in very short times. And this is -- and at least this is the reason that we feel very comfortable that 2026 is going to be a growth year because everybody is positive about the future and what's going to happen. It is really a question now of timing, how fast the ramp is going to be. So all in all, I think the activities are there. I think Rafi in his prepared comments talked about the advancement and the process improvements that everybody is making. And so all in all, I think this industry is moving in the right direction. But as we said, to turn all of these announcements into something that we need to start to manufacture tomorrow, obviously, there is a slight time delay and I think we will be able to discuss it more in details in about a quarter.
Matthew Pan: Got it. Just one follow-up. We've been asking a couple of companies this. Curious if you've looked into sort of what you think WFE spend as a percentage of total AI compute investments would be. So we've heard a couple of companies saying high single digits, maybe closer to double digits percentage, but not sure if you've taken a look into that.
Ramy Langer: Obviously, we see these comments. And I think it's too early today to say the numbers. I see numbers from high single digits to low double digits. I think it's a little premature now to really comment on the WFE in 2026.
Kenny Green: Next question will be from Blayne Curtis of Jefferies.
Ezra Weener: Do you hear me?
Kenny Green: Yes, we hear you.
Ezra Weener: This is Ezra Weener on for Blayne. First one would be in Q3 and the guide for Q4 and I guess into the weakness in the beginning of next year, can you talk a little bit about the moving pieces between CoWos and HBM, -- what's strong, what's weak there?
Ramy Langer: We bundle it all together as we call it high-performance computing because the reason is basically what is it? It's the CoWos, there is the chiplet and the chiplet is surrounded by stacks of HBMs. So it really is one business. And the orders can shift by quarter here and there per the different vendor. And today, it's a little bit more complex because you get the OSATs and the OSATs are also participating in the CoWos and CoWos like business. And therefore, it's a little bit harder to tell you what is stronger versus the CoWos because we sometimes don't know what the OSATs are doing. So again, what I can tell you is that the business, the HPC continues to be strong. It will be strong also in the fourth quarter. It also will be strong in the range of 50% in 2026. We don't see any change in the pattern.
Ezra Weener: Got it. And then second question would be you talked about an improvement in the hawk for early next year. Can you talk about what that means for the applications you can address and pricing?
Ramy Langer: So I want to be very careful because, of course, a more detailed information is confidential. What I can tell you what we said in our prepared remarks that as after a year since the introduction of the Hawk, we have identified potential in order to improve the performance and to create even a bigger gap in the market. So we are going to improve the throughput in general for both the 3D metrology and the inspection. We're going to make these changes very soon. And we are speaking with our customers, obviously, very closely, and they understand what is going to come. What I think the -- what I want to say that what is important and the message that I want to say across that we, the Hawk will be the best equipment we have in its segment and we are very proud and it's performing very well. It's been well accepted by our customers. It's already in production at multiple places, very successful. So we believe that with the improved version, our market position will be even stronger once we implement those improvements, and they're going to happen very soon.
Kenny Green: Our next question will be from Michael Mani of Bank of America.
Michael Mani: Start, could you talk about the utilization of your tools across your main customers, maybe particularly focusing on some of the HBM customers. Is there anywhere where you might be seeing a little more idle capacity given the amount of shipments over the last couple of years? And is that a headwind in the near term and partially explaining maybe the softer first half of the outlook?
Ramy Langer: First of all, we don't really know the utilization of our machines at our customers. We sometimes see pressure on us to fix the machines, but we don't really know these numbers. They feel -- they keep them very close to their chest. So this is something that, unfortunately, I cannot comment on. What I can tell you that all the machines that we are shipping are being installed and are being taken into production. I don't see any machines that are held that don't require immediate installation or not used. From that point of view, I think the industry is healthy. People are using the equipment and people want service and people are pushing us to do things and deliver our commitments as fast as possible. So from that point of view, I don't see any slowdown in the industry.
Michael Mani: Great. And my follow-up, if you could just give us an idea about how to think about gross margins for next year. It sounds like maybe the first half is at the lower end of the sort of 51% to 52% range that you kind of trended along for the last couple of quarters. Maybe there's an uptick in the second half, especially as some of these higher ASP tools kick in. But any kind of high-level trajectory in terms of gross margins to think about for next year would be very helpful.
Moshe Eisenberg: Michael, this is Moshe speaking. Yes, gross margin should gradually improve over the next few quarters as we ship more and more products from our new tools, the Hawk and the Gen 5, which have higher gross margin. Obviously, if there is a slower quarter, this may have an impact on the overall gross margin. But again, in general, the gross margin should improve over the current levels.
Kenny Green: Our next question is from Edward Yang of Oppenheimer.
Edward Yang: Can we come back to the -- just the competitive environment and market share dynamics. It sounds like you had some -- won some share in 2D. -- competitor talked about 3D. Is it just fair to say the backdrop is relatively stable with some give and take?
Ramy Langer: So first of all, we have not lost any market share to our competitor -- to our competitors. And we believe that with our new technologies and the new capabilities we're going to implement will probably enable us to win more -- to increase our market share. And I want to make it as we gain in the 3D and you sort of hinted maybe you lost something -- you gain in the 2D, you may have lost something in the 3D. That's not the case. Our position in the 3D is very strong. We are the reference tool for all the 3D metrology steps at all the HBM vendors and basically across the industry in the OSATs, there are very, very few places where we are not. So definitely, we are in a very strong position. I think the technology that we are implementing today, the new technologies, the new products that we have introduced a year ago are starting to be very meaningful to our revenues. We are gaining a lot of market share. We are gaining in new applications. We are able to do things that we couldn't do a year ago. I think with the new capabilities, we'll do even more applications. And my expectations is that we will win more steps at the HBM level, at the CoWoS and all the different applications. And then definitely, we -- our target is to increase the market share in the 3D and in the 2D.
Edward Yang: Okay. And just for my follow-up, can you talk about the outlook for non-HPC advanced packaging. That actually outperformed HPC in 2025. Would that still be the case for 2026? And what's driving that? Is that mobile? Or what are the end markets that's driving that outperformance?
Ramy Langer: I'll tell you that if I look at the advanced packaging, in general, advanced packaging for us is around 70%, 50% is the HPC and another 20% is what we call the conventional advanced packaging. I think the main application today is fan-out. And you see fan-out -- in some of it goes to mobile, but I think it's more -- it has a variety of applications. So I would say it's hard for me to tell you which are the end products, but definitely, the application that we see is span out and it's taking more and more, I would say, space you're seeing today in advanced packaging. And I expect this to be similar in '26.
Kenny Green: We have a follow-on question from Craig Ellis of B. Riley.
Craig Ellis: There's been a lot of inquiry and very helpful color understandably on HBM and CoWoS. But my understanding is that the company is positioned quite well for hybrid bonding. And we do expect that to be very important as leading-edge foundry moves to backside power delivery. Can you talk about specific product traction, breadth of exposure there? And how we should think about hybrid bonding contributing to calendar '26 year-on-year growth?
Ramy Langer: So look, in general, hybrid bonding, we see it as an additional opportunity. I think in '26 from a revenues point of view, it's still going to be moderate. What we are seeing is more, I would say, the volumes are still. And we have a few machines at customer sites, major customer sites that are being used for the hybrid bonding, I would say, for the pilot lines or for the initial preproduction that they are doing. So definitely, there is a very nice opportunity there on the 2D inspection side. We see a lot of potential also on the metrology side. And this is something that we've been working on developing capabilities, and I believe this will contribute also in the long run. I think the volumes from hybrid bonding will come more into '20. We'll start to see them higher in '27. I think in '26, it's not going to be so significant.
Kenny Green: So that ends our question-and-answer session. Before I hand over back to Rafi for his closing statement, in the coming hours, we will upload the recording of this call to the IR section of Camtek's website. I'd like to thank everybody for joining this call and hand back to Rafi for your closing statement. Rafi, please.
Rafi Amit: Okay. I would like to sincerely thank all of you for your continued interest in Camtek. A special note of application goes to our dedicated employees and exceptional management team for the outstanding performance and commitment. To our investors, I am truly grateful for your trust and long-term support. I look forward updating you on our continued progress in the next quarter. Thank you very much, and goodbye.
Kenny Green: Thanks, everyone. You may go ahead and disconnect.